Operator: Good morning. And welcome to Veritiv Corporation's Third Quarter 2022 Financial Results Conference Call. As a reminder, today's call is being recorded. We will begin with opening remarks and introductions. At this time. I would like to turn the call over to Scott Palfreeman, Vice-President of Finance and Investor Relations.
Scott Palfreeman: Thank you. Colby and good, morning, everyone. I am joined on today's call by our CEO, Sal Abbate and our CFO, Steve Smith. After my remarks, Sal will share an update on third -quarter business performance, followed by Steve, who will provide more details on our financials. After Steve's comments, Sal will conclude by providing an update on our revised outlook for the rest of 2022 as well as some initial perspective on 2023. We will then open the call for your questions. Before we begin, please note that some of the statements made in today's presentation regarding the intentions, beliefs, expectations and-or predictions of the future are forward-looking. Actual results could differ in a material manner. Additional information on factors that could cause results to differ from those in the forward-looking statements is contained in the company's SEC filings. This includes the risks and other factors described in our 2021 Form 10-K and the company's other publicly available reports and exhibits filed with the SEC. Today's call and presentation slides will contain non-GAAP financial measures, the reconciliation of these non-GAAP measures to comparable U.S. GAAP measures are included at the end-of-the presentation slides and can also be found in the Investor Relations section of our website. At this time. I will turn the call over to Sal.
Sal Abbate: Thanks, Scott and good morning everyone and thank you for joining us. Today we reported another strong quarter of financial performance, building on the strength we had during the first half of the year. We reported 15% year-over-year organic revenue growth for the third -quarter and record adjusted EBITDA and adjusted EBITDA margin, despite the impact of recent divestitures. Third quarter adjusted EBITDA was $141 million, representing growth of more than 50% from the third quarter of 2021. The third -quarter marked The 11th consecutive quarter of year-over-year adjusted EBITDA margin expansion as adjusted EBITDA margin was 7.8%, an approximate 250 basis-point improvement over the prior year. Net income in the third -quarter was a record $97 million, reflecting year-over-year growth of 142%. The resulting diluted earnings per share in the third quarter grew 170% compared to the prior year itself a record at the time to $6.86. It is worth highlighting the dramatic improvement in net income over the past several quarters. You may recall that we did not provide net income guidance until the third quarter of 2021, when our quality of earnings improved significantly. Over the last 12 months we produced $323 million of net income which was more than double the total net income generated in total since the company was founded in 2014 through 2021. For the third quarter packaging revenue grew nearly 10% on an organic basis compared to last year after adjusting for our Canada divestiture. While packaging's total volume declined slightly during the third -quarter, U.S. Corrugated and Flexible volume performance continue to outperform the broader market. During the third quarter the U.S. box shipment market declined 4.5%. However, Veritiv U.S. corrugated volume outperform this industry benchmark by approximately 200 basis-points, which was consistent with our outperformance in prior quarters. Volume growth in our U.S. market was offset by weakness in our Asian and European businesses. During the third quarter industry verticals such as health-care, manufacturing and e-commerce generated positive volume growth as under as other industry verticals such as logistics and consumer electronics continued to slow. From a product perspective, third quarter organic sales growth in the cushing, tapes and bags categories were at or above the segment's organic growth rate. Supplier driven cost increases for these ancillary products lagged the corrugated increases so we anticipate a positive impact from pricing and these categories into 2023. Packaging adjusted EBITDA increased to a record $115 million, representing growth of nearly 8% compared to prior year. The third quarter marked our 14th consecutive quarter of year-over-year margin expansion with a record adjusted EBITDA margin of 11.6% for the third quarter. We are pleased with the strong performance of not only the Packaging segment, but all of our businesses. Our commercial and marketing initiatives continue to contribute to organic revenue growth across all segments while our operational efficiency initiatives we are simultaneously focused on continuous improvement and profitability. The continued success of these initiatives helped fuel this strong financial performance during the third quarter. These strategic actions accelerated company performance and are expected to provide financial strength and optionality in the event of a potential recession. Since 2019, we have launched several waves of multiyear commercial and operational initiatives which we expect will continue to drive top-line and long-term profitable growth. Some of our first initiatives focused on customer and skew-based rationalization. We made strategic decisions to exit the low-margin and high cost-to-serve redistribution business as well as exit unprofitable and high-risk customer relationships. We reconfigured the supply-chain infrastructure and support model within our print business to align with the needs of the changing print market. We also rationalized our distribution center footprint, exiting 45 warehouses since December of 2020 to more efficiently meet the needs of customers across all of our segments. Additionally we comprehensively changed our sales go-to-market model to align with our commercial strategy and drive profitable growth. We also invested in our support model to better serve what we believe to be long-term growth industries. While, not an exhaustive list, these examples demonstrate our relentless focus on revenue growth, efficiency and profitability, which we believe will help maintain our strong financial position going into 2023 in the uncertain macroeconomic environment. We are now focused on implementing the next wave of strategic initiatives to build upon our foundational efforts. Cost and price management remain important to our commercial sales strategy. We continue to strategically drive margin benefit from disciplined customer and skew-based pricing opportunities through enhancing new pricing tools policies and training. Additionally the pandemic demonstrated that e-commerce and omnichannel capabilities our now requirement in companies can no longer realize solely on in-person selling. Customers want a robust digital offering and we are investing in e-commerce technology that will be the hub of our customers' digital experience to support revenue growth. Customers will benefit from simple setup an easy purchasing with electronic payment capabilities. This type of online experience, maybe typical from a consumer perspective, but in the B2B space we believe it will be industry-leading. We are also focusing on further optimizing our supply-chain capabilities. Our next-generation of supply chain initiatives will focus on improving the customer experience, while driving efficiencies and supporting our digital business. We are also evaluating methods to further optimize our warehouse footprint and expand our omnichannel capabilities. We are very proud of our proven track-record of successful execution of commercial and operational efficiency initiatives. We believe the benefits from our completed strategic initiatives, as well as our next wave are not one time in nature and provide a high-level of confidence that the majority of the benefits will be sustainable into the future. Adjusted EBITDA margin improvement is just one metric benefited from our efficiency initiatives. There has also been a significant improvement in our return on invested capital or ROIC ratio. We strategically divested lower margin, lower ROIC businesses to focus on the higher growth, higher ROIC packaging business. During the third quarter we divested our lower margin, lower ROIC freight brokerage business Veritiv Logistics Solutions for VLS. This follows the divestiture of our data business in the second-quarter of 2022, Through our prudent choice of assets, our ROIC has improved from roughly 6% in 2019 to nearly 34% as of the last 12 months ending September 30. Steve will provide more detail on our ROIC improvement during his prepared remarks. I'll now turn the call over to Steve to talk about the segment level financial performance as well as the balance sheet for the third quarter. After Steve's remarks. I will provide an update on 2022 guidance and how we are approaching 2023. Steve?
Steve Smith: Thanks, Sal. Today, I will provide more details on a handful of topics, including our segment performance as well as updates related to cash flow, leverage, our recently-completed share repurchase program and our improved ROIC. Please note that when we speak to organic results, we are referring to reported results excluding the impact of the sale of both our freight brokerage business, Veritiv Logistics Solutions and the Canada business. On a day count basis, I would note that the third quarter of 2022 had the, same number of selling days as the previous year's third quarter. Starting with the Packaging segment, segment revenue was $988 million, a third quarter record. Year-over-year, our Packaging segment's revenue grew 1.8% on a reported basis, but 9.9% on an organic basis. Higher market prices were the primary driver of third quarter revenue growth. All of our domestic industry verticals and product categories had positive revenue growth during the third quarter. Key industry verticals like healthcare manufacturing and e-commerce produced double-digit revenue growth for the third quarter. Within our U.S. market several industries also generated solid volume growth during the third quarter. Volume growth was strongest in the health care vertical, with mid-single-digit growth compared to last year, and the manufacturing e-commerce verticals generated low-single digit volume growth in the third quarter. For the third quarter our Packaging segment reported record adjusted EBITDA of $115.1 million which was an improvement of 7.6% compared to the prior year. Packaging's adjusted EBITDA margin was also a record-high of 11.6% which was a 60 basis-point improvement over the prior year. Moving now to the Facility Solutions segment. Reported revenue for the third quarter declined 22.5% versus the prior year to $180.1 million. However on an organic basis adjusted for the sale of the Canada business, revenue grew 9.6% compared to last year. Revenue growth in the Facility Solutions segment was primarily driven by price. Facility Solutions revenue continued to benefit from away-from-home activity within the entertainment and hospitality verticals. Products within our towels tissues foodservice and can liners categories all had positive volume growth for the third quarter compared to last year. Third quarter adjusted EBITDA for Facility Solutions was $0.6 million, representing growth of 16.4% over the prior year. Adjusted EBITDA margin for the third quarter was an all-time high of 8.7% which was 290 basis-point improvement over the prior year. Shifting to the Print Solutions segment. Third quarter reported revenue is increased 15.1%. to $616.6 million while on an organic basis revenue increased 25.7% compared to last year. Print Solutions adjusted EBITDA grew to a record $64.3 million in the third quarter. Adjusted EBITDA margin in the third quarter was an all-time high of 10.4%. Domestic demand continues to outpace domestic and international supply during the third quarter. In a few minutes. Sal will provide color on our current view of the global print market and why we believe Print Solutions' adjusted EBITDA margins should remain elevated compared to pre-pandemic adjusted EBITDA margin levels. I'll finish our business review with the Corporate and other category. As we previously disclosed, we completed the sale of our freight brokerage business Veritiv Logistics Solutions or VLS in early-September. Historically the VLS financial activity was reported within the Corporate and other category and its sale was the reason for the third quarter decline in reported revenue. VLS was a lower-margin, lower ROIC business and the sale reflects our continued shift to -- in our portfolio to higher-growth higher ROIC businesses. Moving to cash-flow. For the third quarter, cash-flow from operations was $96.6 million. After subtracting capital expenditures of $6.5 million from cash-flow from operations we generated $90.1 million of free-cash flow during the quarter. At the end-of-the third quarter, our net-debt to adjusted EBITDA leverage ratio based on our trailing 12 months earnings reached a record-low of 0.6 times. Shifting now to capital allocation. We completed our previously-announced $200 million share repurchase program at the end of September. Over the course of the program, we repurchased 1.6 million shares at an average price of $128 per share. Since resuming share repurchases in March of 2021, we have repurchased 3.3 million shares which reflects a roughly 20% reduction in shares outstanding at an average price of $91 per share. As Sal mentioned, our successful track-record of both commercial and operational efficiency initiatives as well as working capital improvements have significantly improved our ROIC since 2019. In 2019, when we launched our first wave of strategic initiatives our ROIC was approximately 6%. Since, then we've been intensely focused on allocating capital to the most attractive ROIC initiatives. In doing so we made the strategic decision to exit five lower-margin, lower ROIC businesses. Those businesses were are redistribution business, retail stores, Rollsource, Canada and most recently VLS. These divestitures allowed us to prioritize attention and capital to higher ROIC businesses like packaging. The ongoing strategic initiatives have improved our working capital which continued to -- contributed to the improvement in ROIC. For example, to improve the quality of our working capital we aggressively reduced customer risk going so-far as to exit certain high-risk customer relationships. While we absorbed a drag on revenue from those decisions in 2021 and 2022, we benefited from a large reduction in bad debt expense and should continue to benefit in the future from lower than historical levels of bad debt expense. From an inventory perspective we centralized inventory management and continue to optimize our warehouse footprint. Both of which helped to reduce inventory balances over the last several years. As a result of these and many other actions, ROIC for the 12 months ended September 30 was a record 34%, an improvement of 28 percentage points for 2019. We are very pleased with our ROIC improvement since 2019 and we will continue to evaluate further investments through the lens of the most attractive ROIC return. I'll now turn it back to Sal.
Sal Abbate: Thanks, Steve. I'll now provide an update on the outlook for the rest of the year. Given the economic disruption and market volatility we've seen over the past few months, I will also provide an initial perspective on 2023. Given our strong performance in the third quarter, we are raising our full-year 2022 adjusted EBITDA guidance from a range of $475 million to, $505 million, to a range of 510 million to $530 million. We expect full year net income to be in the range of $320 million to $340 million and full year diluted earnings per share to be in the range of $22 to $23.50 per share. Finally we continue to expect estimated free cash flow of approximately $250 million and capital expenditures of approximately $30 million for the full-year 2022. From a capital allocation perspective, we are pleased to announce the initiation of a quarterly cash dividend. The health of our business model, the strength of our balance sheet and the level and outlook for our expected cash-flow performance provides the confidence to initiate the dividend. The dividend will have a quarterly payout of $0.63 per share which would equate to an estimated dividend yield of approximately 2% based on our recent share price. While we are pleased with the initiation of a dividend, our capital allocation priorities remain focused on strategic optionality. Consistent with prior quarters, we continue to execute on our customer experience improvements while also considering an active pipeline of inorganic opportunities with synergistic and enhanced capability benefits. We will continue to evaluate methods to return capital to shareholders as the initiation of the dividend will not preclude additional strategic options. I will now turn to the industry trends for our specific segments and their potential impact through the remainder of 2022. In our Packaging segment the rapid corrugated and resin price increases of 2021 and 2020 to have subsided, but we are still experiencing price increases from suppliers for other product categories. Corrugated and resin prices most likely peaked earlier this year. We believe these elevated prices may continue to provide a tailwind for the rest of this year and at least the first-quarter of 2023, We will continue to operate disciplined pricing mechanisms to efficiently pass-through supplier driven price increases. We believe our Packaging product portfolio is more resistant to the significant commodity price changes that the-market witnessed during 2022. Approximately half of our Packaging segment's revenues are from customized and unique customer solutions which we believe are not as sensitive to commodity price volatility. Additionally, almost two thirds of our packaging revenues are not directly tied to an underlying index. While price increases have impacted this portion of our packaging portfolio, it has not been as susceptible to the volatility as commodity-based products. Our focus on what we believe to be recession-resilient industries like health care and consumer staples may partially mitigate the negative impact from a potential economic downturn. In Facility Solutions we continue to believe strength in away-from-home industry verticals like entertainment and hospitality will be somewhat offset by lower demand in the office like environment. For both Packaging and Facility Solutions, we expect relatively consistent margins in the near-term given our commercial and operational initiatives. I will now address the outlook for Print Solutions. As we indicated last quarter, we believe the global print industry has structurally changed over the past few years. Since 2019, we estimate that nearly 20% of graphic paper capacity in North-America has left the market due to either closures or conversions. As a result we continue to believe demand outpaced supply into early 2023. To further understand where print demand and prices may be heading, we recently commissioned an independent study to analyze the global print market. Based on this study and other independent industry data points, we believe additional domestic capacity will likely exit the market over the next several years. In addition, market insight suggests demand declines will resume in 2023, but much less severe compared to historical rates. We also believe international imports are not likely to replace or lost domestic capacity in the near-term due to higher energy costs as well as supply-chain volatility. In short, we believe demand may decline slightly but the continued reductions in global production may cause prices to remain elevated for the next several quarters. Given both the structural changes in the print industry and specific foundational improvements we've made to our business over the last several years, we believe Print Solutions' adjusted EBITDA margins for the fourth quarter will be relatively consistent with the prior quarters of 2022. Furthermore we believe we are positioned to retain the majority of our 2021 and 2022 adjusted EBITDA margin improvements into 2023 even in the event of a mild recession. Before we move to the Q&A portion of the call, let me summarize what you've heard this morning. Our commercial and operational initiatives continue to provide strong earnings momentum and we believe we will continue to do so with our next wave of initiatives. We will continue to make higher-growth higher ROIC investments that align with our focus on customer experience with value-added products and sustainable solutions that will help contribute to above-market growth. We believe our diverse product customer and end-use vertical mix positions us well to handle a potential economic downturn. We have an updated perspective into the global print market that builds our confidence in the longer-term sustainability of margins in our Print Solutions business. While the macro market uncertainty remains heightened heading into next year, we believe we are financially prepared and operationally committed to delivering solutions that delight our customers employees and stakeholders. This concludes our prepared remarks. Colby we are now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Sandra Liang from Bank of America. Your line is open.
Sandra Liang: Hi, everyone. Good morning. And so as you know, George Staphos had another conference. So I just have a couple of questions on his behalf.
Sal Abbate: Good morning.
Sandra Liang: Good morning. If it's possible could you please talk about the outlook on boxboard and, how does that affect? What might be happening in the folding carton business? And if you could also speak to what is left on the process improvement, are there is remaining benefits from restructuring that could result in 4Q or in 2023 that would be great.
Sal Abbate: Sure, thank you. And good morning, Sandra. Just I'll start on the question regarding our corrugated business. And as we mentioned this morning box shipments were down for the industry of 4.5% in the third quarter and down about 2.5% for the full-year. We've been outpacing both of those numbers for the market by about 200 to 250 basis points. So we did beat the market by that in the third quarter. And from, what we're seeing at least through the first-half of the fourth quarter, we do expect that that outperformance for the market to continue. There are indications that the fourth quarter of this year for the market will be slower than last year. And, recall that the last two years, 2021 and 2020 were significant increases in e-commerce through the pandemic. So that is expected to be a tougher comp for the fourth quarter, but we are committed to and expecting to continue to stay ahead of the market by the same degree we did in the third quarter and for the full year. I will speak a little bit to process improvement to your second question around what might be remaining and then Steve, please add in. But just -- let me just highlight several things we've done over the next -- over the last several years and then reiterate what we plan to do over the next and ensuing years. So starting back-in 2019 and '20, we've really rationalized our channel mix, our customer mix and our skews, to really focusing on higher margin lower cost to serve, highly customized. Solutions for those customers. And so for example on the channel side, as Steve mentioned in his comments, we exited our Saalfeld redistribution business and Facility Solutions as well as our Rollsource business in Print, along with our, I would say retail business and Facility Solutions as well. We also exited lower-margin segments and businesses like Canada and VLS. So those are all contributing to our improved foundational adjusted EBITDA margins that you saw last year and then significantly in 2022. As part of our commercial initiatives, we instituted our disciplined cost and price management processes as well as realigning our go-to-market strategy to align with those high-growth verticals as well as matched our sales compensation plan to our overall strategic growth priorities. Again all of these contributing to the foundational margin improvements we expect to continue. And then lastly. I would say we optimized our DC footprint in 2022 taking out approximately. 30% of our locations or roughly 20% of our square footage to really balance our footprint with the overall market particularly the print secular decline from the last decade or so. So all of those things really contributed to the strong margin enhancement you've seen to-date. Moving forward we, do have a next wave of initiatives primarily in the cost and price management and skew rationalization area on the commercial side as well as a commitment to our e-commerce business which will help reduce our cost-to-serve, therefore improving margins, and then lastly our next supply-chain. And while we don't anticipate any major movements in our warehouse count or footprint, we're always looking ways to automate our businesses across our warehouse and our footprint and looking at ways to optimize our footprint and our transfer network to serve our customers that are like we did in the print market in 2022 so those are the ways in which we're looking-forward into '23 and beyond.
Steve Smith: Yeah, Sal. And just to supplement that with just two items one kind of a broader concept of one of very specific item. The specific item enhances what we said in our prepared remarks which was the sustainability of a lower bad debt expense so the initiatives that we undertook have impacted us year-to-date, including the third quarter and we believe we'll continue to help us in the fourth quarter Sandy and beyond. And then secondly, a broader concept which is implied in sales commentary around the asset sales which is the mix toward our higher-margin portfolio which includes Packaging now and FS and that mix-shift will help Veritiv's consolidated adjusted EBITDA margins. Those are two I think so.
Sandra Liang: Thank you. And just a follow-up question. I think you touched on this If it's possible if you could provide a, little bit more clarity as to the drivers of the guidance increase. I assume part of it is because of the strong quarter, but if you could also comment on anything more such as paper price increases that would be helpful.
Sal Abbate: Yes. And I would say that the price increases will be a clear driver of the increase in guidance as we mentioned there. While the corrugated and resin price increases team earlier in the year and later last year and we're starting to get close to lapping those, there are price increases that occurred in the middle of the year and the I'd say in the second and third quarter that are carrying into the fourth quarter in our other product category such as sustainable mailers bags. case cushioning. And so that that portion of our portfolio which is roughly 65% of our packaging portfolio, will really drive increased prices into the fourth quarter. For packaging specifically. I would say in Facility Solutions, what's driving the increase is a very healthy entertainment and hospitality business particularly in the revival of the cruise line business and the theme park business which are very robust right now. And there is some speculation that there is a bit more return to office that's happening in the third and fourth quarter that also help support our improved guidance. And then lastly in the Print market, again sustainable prices from the supply-and-demand imbalance are also contributing to our confidence in raising our guidance for the fourth quarter. And lastly. I would say to Steve's point a moment ago, a reevaluation of our bad debt and the fact that it's been so much lower than our historical norms and we expect that to continue to the end-of-the year. And so all of those are contributing to a stronger full-year guidance.
Sandra Liang: Thank you, guys. I'll turn it over.
Sal Abbate: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call-back over to Sal Abbate for closing remarks.
Sal Abbate: Great. Thank you, Colby. The continued success of our commercial sales and operational efficiency initiatives over the past several years have strengthened the company's financial position and we believe these initiatives will continue to provide financial stability into the future. I am extremely grateful for the incredible resiliency and commitment the entire Veritiv team has maintained throughout a very tough environment over the past several years. Thank you for joining us on the call today. And we look-forward to speaking with you again early next year when we will review our fourth quarter and full year 2022 results. Colby this concludes our call.
Operator: This concludes today's conference call. You may now disconnect.